Operator: Good day, and thank you for standing by. Welcome to the Globalstar Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Rebecca Clary, CFO. Please go ahead.
Rebecca S. Clary: Thank you, operator, and good afternoon, everyone. Before we begin, please note that today's call contains forward-looking statements intended to fall within the safe harbor provided under the securities laws. Factors that could cause the results to differ materially are described in the Risk Factors section of Globalstar's SEC filings, including its annual report on Form 10-K for the financial year ending 2024 and its other SEC filings as well as today's earnings release. Also note that management may reference EBITDA, adjusted EBITDA, free cash flow or adjusted free cash flow on this call, which are financial measures not recognized under U.S. GAAP. As required by SEC rules and regulations, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in the earnings release, which is available on our website. I'll begin with a review of our financials before touching briefly on the expected impact of tariffs and our outlook. I'll then turn it over to Paul to cover key operational updates. Overall, second quarter financial results were strong with solid growth in revenue, cash flows and profitability. Total revenue increased 11% to $67.1 million for the second quarter compared to the prior year period of $60.4 million. Service revenue increased 10%, driven primarily by wholesale capacity services, which benefited from the timing of service fees associated with the reimbursement of network-related costs that have increased following recent network expansion. In commercial IoT, we are pleased to see continued growth in the average number of subscribers, propelled by a record number of gross activations over the last 12 months. We expect to see this momentum continue with the adoption of our 2-way module, which Paul will cover later. The increase in revenue contributed to the net income generated during the second quarter as well as higher adjusted EBITDA, which rose to $35.8 million compared to $32.6 million in the prior year second quarter. Partially offsetting the benefit of higher revenue were certain cost increases, including expenses incurred to continue developing and enhancing XCOM RAN. Higher cash costs to support XCOM negatively impacted the change in adjusted EBITDA by approximately $1.9 million and adjusted EBITDA margin by 300 basis points compared to the prior year's quarter. While we expected this upfront investment, we remain confident in the long-term profitability and strategic importance of this product offering. Moving to the balance sheet. We ended the quarter with $308.2 million in cash on hand. Adjusted free cash flow for the 6 months ended June 30, 2025, was $77.9 million compared to $51.9 million at the prior year period, primarily reflecting higher service payments received under the updated service agreements during 2025. Before we turn to the outlook, I want to briefly revisit our view on the evolving tariff environment. We've conducted a thorough assessment. And based on what we know today, we believe Globalstar is well positioned to minimize any significant financial impact. Our global manufacturing and logistics footprint gives us flexibility to manage through potential headwinds. This includes the ability to shift production, leverage third-party logistics providers and where necessary, pass through incremental costs without affecting our competitive position. As a result, we continue to expect a relatively immaterial impact in the near term. Given our results to date and expectations for the balance of the year, we are reiterating our full year 2025 outlook and continue to expect revenue in the range of $260 million to $285 million, and we anticipate adjusted EBITDA margin of approximately 50%. With that, I'd like to turn the call over to Paul.
Paul E. Jacobs: Thank you, Rebecca, and good afternoon, everyone. It's great to be with you today, and I'm definitely pleased to update you on the progress we call. There has been significant progress in the Globalstar-Parsons commercial relationship. We successfully completed their proof of concept, integrating our satellite network with their software-defined communications platform. That demonstration, which was conducted across 3 European ground stations, validated performance and operational readiness for real-world deployment. I'm pleased to announce that following this milestone, we executed a capacity access agreement moving this partnership into the commercial phase, showcasing Globalstar's ability to deliver resilient, low-latency mission-critical for government and defense applications worldwide. Another important development in the government sector is our growing engagement with U.S. federal agencies. We recently entered into a cooperative research and development agreement with the U.S. Army to evaluate our satellite-enabled edge processing solutions. This effort focuses on ultra-low size, weight and power devices designed for secure autonomous operation in challenging environments. It reflects our expanding presence in defense and government markets and the relevance of our network architecture for high-priority mission applications such as covert sensing and unmanned system support. We are excited about this opportunity and look forward to future phases of work. These recent agreements represent a meaningful expansion of our existing governmental customer relationships, and we expect significant revenue contribution from this area of our business. We continue to see growing demand for our products and services with new customers and emerging use cases steadily coming online. Over the past several quarters, we've been focused on executing a clearly defined strategy and go-to-market plan designed to capture these opportunities and to support long-term sustainable growth. That effort includes investments in core infrastructure, the launch of foundational new assets and the expansion of strategic partnerships, all of which are enabling innovative solutions that extend the value of our network. To that end, we have made progress on several operational milestones. Globalstar has officially kicked off its global ground infrastructure program in preparation for the next-generation Extended MSS Network, also called our C-3 system. Milestone was achieved with the successful installation of a new 6-meter tracking antenna at our flagship ground station in Texas, our largest and longest operating site. This installation is part of a sweeping upgrade expected to add roughly 90 antennas across 35 ground stations in 25 countries. This expansion is designed to increase network capacity, resiliency and reach, ensuring robust service continuity in mission-critical environments. In fact, recent widespread power outages in Spain and Portugal underscored the reliability of our satellite network, which remained operational while terrestrial networks went offline, demonstrating the vital role our expanding networks of ground stations play in ensuring continuous connectivity since our constellation is built with a [indiscernible] and multiple redundancies. To complement our ground infrastructure build-out, we also signed a launch services agreement with SpaceX in June 2025 for the deployment of the second batch of 9 satellites currently being constructed under our 2022 procurement agreement with MDA. We expect the first launch of these replacement satellites later this year and the second launch in 2026. These satellites are expected to replenish our existing second-generation constellation to ensure continuity of service. Taken together, these milestones mark a period of focused execution across multiple fronts, domestically and internationally as well as commercial and government sectors. We're delivering on our promise to build a next-generation mobile satellite network that is global, resilient and scalable while opening new avenues for growth across our target verticals. And as we look ahead, we remain confident in the strength of our strategic road map and our ability to execute against it. We believe the foundational investments we're making today across our space and ground infrastructure, commercial partnerships and technology innovation are positioning us to serve a growing number of high-value applications across industrial, commercial and government markets, whether it's enhancing connectivity in hard-to-reach areas, enabling autonomous platforms at the edge or supporting mission- critical communications, we believe our solutions are increasingly aligned with evolving needs of our customers. Our recently introduced RM200 2-way module continues to show a promising trajectory with proof of concepts advancing rapidly and across a broad and diverse customer base. With over 50 partners currently testing the module, we're already seeing strong interest around key applications, including oil and gas operators optimizing remote asset management, military and defense organizations seeking resilient edge communications through remote control and management and MVNOs interested in bringing hybrid connectivity [indiscernible] many others. We believe the RM200's easy integration and powerful 2-way edge communications are positioning us firmly for growth in multiple high-value sectors. Many of these markets exist today, and we will compete favorably in both price and functionality. In addition to expanding our satellite capabilities, we're actively advancing our XCOM RAN platform, which represents a critical entry point into the terrestrial wireless markets. As we continue development of this software-defined end-to-end solution, we're encouraged by the strong technical validation and increasing interest from prospective partners. XCOM RAN is engineered to deliver lower latency, enhanced spectral efficiency, ease of deployment and dynamic spectrum sharing, and we believe it has the potential to significantly expand our addressable market by enabling future hybrid satellite terrestrial network architectures. We remain committed to bring this differentiated technology to market with necessary near-term investments to support long-term value creation. Our broader go-to-market approach centered on flexibility, interoperability and resilience position us well to support the convergence of satellite and terrestrial networks. And finally, we're proud to have led the way across multiple satellite services, and we're excited about what lies ahead. Our network and architecture in the right place at the right time. And we think that what's becoming readily apparent in the market is having proprietary spectrum matters most. Our advantage and differentiation from our competitors is our globally harmonized globally licensed spectrum. With our recently announced agreements, [indiscernible] buildouts and increased engagement with U.S. federal agencies, we believe we're laying the groundwork for meaningful growth across a diverse set of verticals. We anticipate the launch of the satellites under our MDA procurement agreement that will further enhance our service continuity and performance. The progress we've made reflects the talent and dedication of our global team, and we're energized by the momentum we're building across commercial and government markets alike. So thanks again for joining us today. Thanks for your continued support of Globalstar, and we look forward to updating you on our progress in the quarters to come. I'll now turn the call back to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Michael Ridgeway of Robertson Stephens.
Michael Ridgeway: A couple of questions. I'll go through them one at a time, if possible, and you can stop me any time you'd like. But any updates developmentally on the international retail opportunity for terrestrial? I know that's been -- you've been working on it for quite some time. So any additional color on progress there would be great.
Paul E. Jacobs: Yes. So I mean, as you know, selling into enterprise, there can be long sales cycles. But I would say that all our interactions are going in the right direction. We are actually making progress on more than just the initial applications on multiple fronts. And so there's definitely an opportunity for expansion in that business. The other thing that's cool is n53, our spectrum band, which originally, we built the XCOM RAN technology on CBRS, but the opportunity to include that, it's increasingly part of the conversation as people see that having that band really allows for mission-critical applications that you know that, that spectrum there. I've said this all along, it was something I experienced at Qualcomm, too. When you're launching some new technology, it's often hard to know when the customer is going to push the go button. usually doesn't have to do with the technology of the product. Often, it's something to do with other aspects of the customer's business important for the customers we're talking to, the capabilities we have, including the one that we mentioned initially. And like I said, I think that there's actually more opportunity rather than less there.
Michael Ridgeway: Are there any other engagements and other verticals that you can point to that might flesh out a few more use cases?
Paul E. Jacobs: Yes. So we're working on some government stuff. And actually, we've now gotten to the point, given that we've had the time to do additional development to go more into horizontal marketplace. So we're actually talking to some companies that are in the business of rolling out networks for locations that have high demand. And we've been through lab testing, and we're in the process of discussing initial deployments and proofs of concept. So that's actually going well. As I said in the past, our development process in order to be focused, we focused on the initial customer and did co-development with them. And then we did kind of incremental development to get to this horizontal model. We will undoubtedly have some incremental development with some of these new customers, adding specific features for them. But that actually is all looking good as well. So I'm very optimistic about where we're headed. But like I said, these things sometimes have long sales cycles and sometimes when it's brand new, you got to get the first one out there, and it's not necessarily because of the tech.
Michael Ridgeway: XCOM RAN, in the past, you've talked about that as being a potentially licensable technology. Anything that you can speak to there with respect to how efforts are going? Or I know that will be a long cycle market as well, but it sounds like the efficiencies are there and the technology is there. Any initial interest or conversations going on in that realm?
Paul E. Jacobs: I mean we started out that way and looked at licensing, and it was hard. It's Open RAN based. And as I think everybody has seen that just generic Open RAN suppliers, especially the kind of newcomers haven't really done that well. I think they overinvested in markets before they were ready. So I don't -- it really would take us getting to the point where we're in at MNOs, it's starting to cause pressure on some of the bigger suppliers to see whether they're interested in licensing. I would say though that the way that we're focused on the product and that industrial WiFi is a competitor, and we are doing great jobs on a set of applications where we really can actually save a fair amount of money, not just have performance improvements. Now I'm not sure we need it. Like we have the end-to-end stuff. Even there are parts of the system that we were buying software from third parties, building our own software sort of end-to-end now. So I think we're in a really good position. And it may not just be product sales. We're looking at even potentially Network as a Service models going forward, and that can wrap in the spectrum play as well. So making it much easier to get licensing revenue around that as well.
Michael Ridgeway: Great. Two more quick ones, if I may. Any updates on terrestrial licenses internationally or any road map that you can provide progress points for this year and/or next?
Paul E. Jacobs: Yes. I mean -- so we got Mexico. That was the most recent one. The regulatory team has been really focused on getting the authorizations for the C-3 higher power systems. That's where our biggest priority is. So we don't think there's any issues with getting the international terrestrial licenses. It's been reasonably kind of a run-of-the-mill process, nothing extravagant that needed to be done. And it's really just a question of spending the human resource and then the money to actually pay whatever needs to be paid and the maintenance fees and so forth. So I think that will come as we continue to build out and find that there's opportunities to do international sales around that because obviously, we're very interested to sell into international customers who have the need for the fact that we have globally harmonized spectrum.
Michael Ridgeway: In that sense, does the license authorization in Spain kind of act as a proxy for the rest of Europe? Or is it more complicated than that?
Paul E. Jacobs: Yes. I mean it's a little more complicated. Every country has got different things with them and wireless isn't totally homogeneous across Europe. But it's a great example. And by the way, I may have said this previously, but the fact that we had the spectrum in Spain was the way that it worked during Mobile World Congress in Barcelona, when we had our own spectrum and everybody else didn't, we were able to be over the air, just really made the point of how valuable having spectrum that we control and know that it's clear and really made that point for us and made a point for others.
Michael Ridgeway: Fantastic. One more, if I may. Going back to the satellite portion of the business. Can you talk about -- there have been some challenges in the last few months or really most of this year around the concept of spectrum sharing and license -- dual licenses around spectrum. Can you talk at all maybe at a simplistic technical level about the feasibility of spectrum sharing and whether or not it's even something that can happen in your eyes?
Paul E. Jacobs: Yes. I mean -- so there have been a lot of statements made about how the system work and the utilization of the spectrum. And there's a lot of misinformation that's out there about sort of how the spectrum is used. But from a technical standpoint, there are people making the claim that you just layer multiple CDMA systems on top of each other. Of course, we built those [indiscernible] back in the Qualcomm days. So my technical team is probably the best in the world at that. And unless it's all optimized together, it doesn't work. Like you get near far problems, if you remember that old thing and the things need to be controlled together. So that doesn't make sense. [indiscernible] it makes sense to the regulators either. And I think when the regulators are looking at these claims that are being made, what we've done not just now, but over the past 30 years in terms of running the system and creating new opportunities with it and saving lives and expanding and investing. I think all of those things weigh heavily. And we've had great relationships with the FCC so far and with the foreign regulators as well. So I feel confident about the position that we're in.
Operator: Our next question comes from the line of Griffin Boss of B. Riley Securities.
Griffin Taylor Boss: Just a quick follow-up for me on the XCOM RAN. I'm just curious if there's any way to kind of quantify or pinpoint how much more development work you expect? Or I guess, if there's ongoing development work you're doing with this initial customer? Or is it really just a function of that customer kind of waiting for the right time to pull the trigger there?
Paul E. Jacobs: So the way that it looks right now is that there's some incremental opportunities and there's some small amounts of development that's going into the incremental opportunities. The big acoustic fulfillment center technology is done, and it's been through a lot of testing. And so I think from a technical standpoint there, not much more to do. And now we're looking at kind of the next set of places to get into some deep vertical. And as I said, we're also working now more horizontally. We've gotten to the point where we have enough functionality that we can provide it horizontally as well. So we're doing that. And the other thing that we did on the development side, and we're not 100% done, but getting close, [indiscernible] of the software stack that we were buying from third parties, and we've been working on our own versions of that as well, and that will provide some cost savings.
Operator: I am showing no further questions at this time. I would now like to turn it back to Paul Jacobs, CEO, for closing remarks.
Paul E. Jacobs: Great. Well, thanks, everyone, for joining us on the call. Hopefully, our excitement about the future is coming through. There's a lot of good [indiscernible] going, and we just continue to have a drumbeat of whether it's new customers, new operational milestones met, working out on kind of building out our future road map as well. It feels like a good time. The team is executing very well, and I think we're making our customers happy. So we look forward to talking to you about more of these milestones met in the future and more interesting things that we're going to do together. And yes, I look forward to it, and I want to just say thanks for your support to date. And yes, stay tuned with us.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.